Operator: Greetings. And welcome to the General Mills Second Quarter Fiscal 2020 Earnings Conference Call. During today's presentation, all participants will remain in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded Wednesday, December 18, 2019. It is with pleasure that I now turned the call over to Mr. Jeff Siemon. Please go ahead, sir.
Jeff Siemon: Thanks, Bridget, and good morning to everyone. I'm here this morning with Jeff Harmening, our Chairman and CEO; and Don Mulligan, our CFO. Also joining us this morning for Q&A is Kopi Bruce, our Vice President of Financial Operations who will take over for Don as CFO on February 1st, as well as Jon Nudi, who leads our North America Retail segment. I'll turn it over to the team in a moment but before I do let me cover the usual housekeeping items. A press release on our second quarter results was issued over the wire services earlier this morning, and you can find that release as well as the copy of the slides that supplement our remarks this morning on our Investor Relations website. Please note that our remarks will include forward-looking statements that are based on management's current views and assumptions. In the second slide in today's presentation risk factors that could cause our future results to be different than our current estimates. And with that, I'll turn you over to my colleagues, beginning with Jeff.
Jeff Harmening: Thank you, Jeff, and good morning, everyone. I'll kick off this morning's remarks with our key messages on slide 4. I'm encouraged by our second quarter performance both on the top line and bottom line. This includes broad-based improvements in our organic sales trends with strong performance in pet, good results in North America retail and a significant sequential step up in our remaining three segments. We generated strong first half earnings results, while increasing media investment behind our brands. And our cash discipline drove double digit growth and free cash flow, which allowed us to reduce our debt by more than $600 million through six months. In the second half, we'll step up our investments in brand building and capabilities and future growth initiatives. And we expect to see further improvement in our organic sales growth. And importantly we will remain on track to achieve our fiscal 2020 goals for sales, profit, earnings per share and we're raising our guidance for free cash flow conversion.  Slide 5 summarizes our Q2 financial results. Net sales were flat to last year at $4.4 billion. Organic net sales grew 1% led by strong growth in Pet. All five segments contributed to profit growth with adjusted operating profit up 7% in constant currency, driven by HMM cost savings, lower consumer promotion expense and favorable manufacturing leverage, partially offset by input cost inflation and higher media investment. The manufacturing leverage favorability was driven by higher inventory balances at the end of the quarter which is a timing benefit that will unwind in the back half of the year. Second quarter adjusted diluted earnings per share totaled $0.95, up 11% in constant currency. Driven by higher adjusted operating profit, lower net interest expense and a lower adjusted effective tax rate. On Slide 6, you can see our three priorities for fiscal 2020. As I reflect in our first half results, I'm proud to say we've made good progress on all three. First, we're on track to deliver accelerated organic sales growth in fiscal 2020. We improved top line growth in North America retail in the first half compared to fiscal 2019 and we generated double digit growth in the Pet segment. I will share details on these results in a moment. Our second priority is to maintain our strong margins. In fact, we're a bit ahead of our plan on the bottom line for the first half, which gives us flexibility to step up investment in the second half and strengthen top line growth.  Our final priority is to maintain a disciplined focus on cash to achieve our fiscal 2020 leverage target and we're well on our way to achieving our goal of 3.5x of net debt to adjusted EBITDA by end of year. With these priorities in mind, I will now cover our Q2 results by segment before turning it over to Don to review our performance on margins and cash and outlined back half expectations.  Slide 7 summarizes components and net sales growth in the quarter. Organic sales were up 1% versus last year, primarily driven by organic volume. FX was a 1 point drag in the quarter resulting in flat reported sales.  Turning to segment results, beginning on slide 8. Second quarter organic sales for North America Retail were in line with year ago levels. Net sales grew 5% in U.S. Cereal and were up 2% in Canada on a constant currency basis. Net sales declined 1% in U.S. meals and baking; 2% in U.S. Snacks and 4% in U.S. Yogurt. Looking at our first half in market results, we grew share in five of our top 10 categories which comprised roughly 85% of our U.S. retail sales.  Constant currency segment operating profit increased 4% in the second quarter driven by HMM cost savings and favorable manufacturing leverage, partially offset by input cost inflation and higher media investment. With this as a backdrop, let's dive a bit deeper into our first half performance in North America retail starting with cereal. I'm very pleased by our performance in U.S. Cereal, driven by strong execution against the fundamentals. We grew our U.S. cereal retail sales modestly in fiscal 2018 and in fiscal 2019 and our results accelerated to 2% growth in the first half of fiscal 2020. We've expanded our share leadership position through investment behind compelling consumer ideas such as our Cheerios heart-health campaign which drove 4% retail sales growth on the Cheerios franchise in the first half of the year. We benefited from consumer support behind Cinnamon Toast Crunch and our partnership with Travis Scott on Reese's peanut butter pops.  And innovation continued to add to our growth with strong first half performance on Blueberry Cheerios and Cinnamon Toast Crunch Cheerios. I am also excited about the plans we have for the rest of the year to build on our leadership position in cereal. We'll continue to invest in our brands including strong support behind a Cheerios heart-health news with more than 100 million Americans having some form of heart disease, Cheerios is on a mission to inspire happy hearts. For a limited time, we're changing some of the iconic Os into hearts supported by new advertising and updated box design and a social media campaign.  In addition to increased brand investment, we're launching a strong lineup of innovation in the second half including an oats and honey variety of Cheerios Oat Crunch, Hershey's Kiss Cereal, and Trix Trolls.  Turning to US Yogurt on Slide 10. We improved our U.S. Yogurt retail sales in fiscal 2019 behind our strategy to expand into faster growing segments of the category and to support our core brand building investments and on trend equity news. Our goal in fiscal 2020 is to further improve US Yogurt with a strong lineup of innovation, brand building and product news. In the first half, our retail sales took a slight setback as we lapped a period significant investment on Oui by Yoplait and had a more meaningful headwind from distribution. At the same time, we are encouraged by growth on our core products with retail sales for our original style yogurt up 1% and Go Gurt up 10% through the first half of the year. We fully expect to strengthen our U.S. Yogurt performance in the second half of the year behind several specific initiatives. Our second half innovation lineup field a new features and new coconut base dairy-free offering on Oui by Yoplait with a rich and creamy texture of Oui delivered in our signature glass pot. We'll launch a new limited edition line of Original Style Yoplait and four signature Starbucks flavors and we will launch Just 3 by Yoplait, a new line of traditional yogurts with just three simple ingredients. We will also increase our consumer support in the second half on our core products and on Oui by Yoplait. And finally, we'll face reduced distribution headwinds as we move into calendar 2020. In total, we expect these efforts will result in improved retail sales growth for our U.S. Yogurt business in the second half of the year.  Now let's turn to U.S. Snacks on Slide 11. Coming off a disappointing fiscal 2019, our goal in fiscal 2020 is to improve our performance behind innovation, renovation, brand-building support and in-store execution. We're pleased that our U.S. Snacks improvement in the first half. Retail sales for Nature Valley improved behind a stronger back-to-school merchandising season and a successful launch of Nature Valley Crispy Creamy Wafer Bars. Retail sales for Fiber One have also improved since we reformulated the product line to be more relevant for modern weight managers.  While we're still lapping distribution losses from earlier this calendar year, our churns per point of distribution, an important leading indicator of growth has stepped up meaningfully across both of these important brands. On Fruit Snacks, we drove 3% retail sales growth in the first six months of the year and we returned to share growth in the second quarter behind strong performance on Disney equity fruit snacks. Our back-half plans on U.S. Snacks include continued contributions from Nature Valley innovation and the Fiber One renovation, greatly improved distribution on bars and increased brand building behind both bars and fruit snacks, all of which should drive another step-up in our U.S. Snacks retail sales trend in the second half.  We're focused on competing effectively everywhere we play including our $4 billion US Meals & Baking operating unit. We returned soup to both retail sales and share growth in the first half. Retail sales for Progresso were up 3%, primarily driven by product renovation on Rich and Hearty. First half retail sales for Old El Paso grew 6% and we grew share behind increased distribution and consumer news and price realization across channels. We had a great year on Pillsbury refrigerated dough in fiscal 2019 driving more than one point of share growth. We've continued to grow share in the first half of fiscal 2020, thanks to distribution gains, contributions from new products like Sweet Biscuits and good results on cookies. Retail sales in the first half declined 3% due to the latter Thanksgiving holiday. However, fiscal year-to-date retail sales for Pillsbury through the first week of December which adjusts for the holiday timing were actually up low single digits. In total, we're off to a good start and we feel good about our plans for the key soup and baking season. And we believe we are set up to have a successful year on U.S. Meals & Baking. Overall, I'm encouraged by our first half results in North America retail. In the second half, we will drive improvement in U.S. Snacks and U.S. Yogurt, while lapping more challenging retail sales comparisons in U.S. Cereal. And we remain on track to achieve our goal of improved full year organic growth for the segment. Shifting gears to our Pet Segment on Slide 13. I am pleased to say that we had a great second quarter with net sales up 16%. Our Q2 growth was driven by strong growth in the Food, Drug and Mass and E-commerce channels, positive price mix and a benefit from the timing of shipments in advance of holiday merchandising. This net sales performance was led by strong double digit growth on Blue's two largest product lines, Life Protection Formula and Wilderness. Looking at end-market performance, we drove first half all channel retail sales up low double digits. And we grew share in the pet food category. On the bottom line, second quarter segment operating profit grew 14% versus a year ago, driven by higher net sales, partially offset by higher media expense.  On Slide 14, you can see how the key components of the pet segments first half double digit retail sales growth breakdown by channel. Retail sales were up more than 100% in the Food, Drug and Mass channel as we benefited from our expansion to new customers and the launch of Wilderness into the channel and last year's fourth quarter. Importantly, retail sales for Food, Drug and Mass customers who have carried Blue more than 12 months were up 45% in second quarter. As we expected, retail sales in Pet Specialty continued to decline by double digits. This is an important channel though for Blue and we continue to support the channel through unique programs and innovation. And Blue continues to win in the rapidly evolving E-commerce channel with retail sales up high teens through the first six months of the year.  Looking to the second half of the year, we have an exciting lineup of consumer initiatives such as our Blue years at resolution promotion, we will invest in media support behind our broad portfolio of products and we'll continue to drive distribution, ensuring we have the best of Blue everywhere pet food is sold. For the full year, we remain well on track to deliver 8% to 10% like-for-like growth in the Pet segment excluding the benefit of the calendar differences in fiscal 2020. We remain confident in the long-term opportunities for Blue Buffalo and we're excited about the growth prospects ahead. Shifting gears to the Convenience and Foodservice segment on Slide 15, organic sales were flat in the quarter. A four point improvement over our Q1 results with volume growth offset by unfavorable price mix. The Focus 6 platforms led the segment with 2% growth behind Cereal, Frozen Baked Goods and Yogurt with strong contributions from our two ounce equivalent grain cereal offerings and bulk Yoplait Yogurt. Second quarter segment operating profit grew 5% versus a year ago driven by COGS HMM savings partially, offset by input cost inflation and unfavorable price mix. In the second half of the year, we'll continue to see strong performance in the Focus 6 platforms led by our K-12 schools.  In Europe & Australia, second quarter organic sales were down 1%, a four point improvement over Q1 results with declines on yogurt partially offset by growth on Old El Paso Mexican Foods and Snack Bars, two of our accelerate platforms that also drove mid single digit retail sales in the quarter. Second quarter segment operating profit increased 45% in constant currency, driven primarily by a timing difference and brand building investments that was neutral through the first half of the year . Looking to the second half for Europe & Australia, we will improve top line growth versus the first half due to increased merchandising and brand building support behind Old El Paso Mexican Food and our portfolio of Snack Bars including Nature Valley, Fiber One and LARABAR. And in Q4, we will begin the lapping impact of reduced Haagen-Dazs distribution in France. In Asia & Latin America, second quarter organic sales increased 1% which was also a 4% improvement over the first quarter. In Latin America, growth was driven by route-to-market changes in Brazil resulting in improved performance on our Yoki brand. In China, net sales were up due to expanded distribution and pricing actions on Wanchai Ferry. In India, sales declined as we continue to change our distribution network to focus on more strategic and profitable outlets. Second quarter segment operating profit in Asia and Latin America was up 42% at constant currency, driven by lower SG&A expense, partially offset by lower volumes. We expect a step up in second half growth in Asia and Latin America, driven by benefits from our strategic revenue management actions and continued distribution expansion on Wanchai Ferry.  With that, I'll turn it over to Don to cover joint ventures, margins and cash as well as our back half expectations. Don?
Don Mulligan: Thanks Jeff and good morning, everyone. Let me begin on Slide 19 by summarizing our joint venture results in the quarter. Cereal Partners Worldwide posted top line growth for the fifth consecutive quarter with constant currency net sales up 1%. That growth was broad-based including positive results in the UK, Australia, Turkey and the Middle Eastern markets. Haagen-Dazs Japan net sales declined 6% in constant currency, driven by slower category performance in the quarter. Second quarter combined after tax earnings from joint ventures totaled $25 million, up 11% from last year, driven by positive price mix and benefits from cost savings at CPW, partially offset by lower net sales at HDJ.  Turning to total company margin results on Slide 20, second quarter adjusted gross margin and adjusted operating profit margin were up 80 basis points and a 110 basis points respectively driven by COGS HMM savings and favorable manufacturing leverage, partially offset by input cost inflation and increased media expense. As Jeff mentioned, the favorable manufacturing leverage was a timing benefit resulting from higher inventory balances at quarter end. We built inventory in the second quarter to protect service while we worked through labor contract negotiations. With those negotiations now successfully concluded, we expect inventory levels to normalize which will result in unfavorable de-leveraged in the back half of the year. For the full year, we expect input cost inflation and COGS HMM savings will each be approximately 4% of cost of goods.  Slide 21 summarizes other noteworthy Q2 income statement items. Unallocated corporate expenses excluding certain items affecting comparability increased by $6 million in the quarter. Net interest expense decreased $13 million, driven by lower average debt balances. The second quarter adjusted effective tax rate was in line with our full year expectations at 21.9%, but was favorable to our 23.8% rate a year ago, primarily driven by the timing of discrete tax benefits and more favorable earnings mix. And average diluted shares outstanding were up 1% in the quarter. Now let's cover our first half results on Slide 22. Net sales totaled $8.4 billion, down 1%. Organic net sales were flat in the first half with positive price mix offset by lower volume. Adjusted operating profit was up 7% in constant currency, driven primarily by positive price mix, one time purchase accounting adjustment in the Pet segment in last year's first quarter. And the timing benefits referenced earlier, partially offset by higher input costs. Adjusted diluted EPS of a $1.74 increased 12% in constant currency, driven by higher operating profit, lower interest expense and a lower adjusted effective tax rate.  Slide 23 provides our balance sheet and cash flow highlights for the first half of FY20. First half cash from operations was $1.4 billion, up 4% from the prior year driven primarily by higher net earnings. Our core working capital balance totaled $429 million, down 19% from a year ago driven by continued improvements in accounts payable. Capital investment in the first half totaled a $158 million. This resulted in free cash flow of $1.3 billion, up 14% from last year. We paid $596 million in dividends and reduced debt by $655 million in the first half of fiscal 2020. Slide 24 outlines our expectations for the second half. We expect to maintain our in market competitiveness in North America retail. And we will continue to drive strong retail sales growth for the Pet segment. We expect total company organic net sales growth to accelerate in the back half due to improved results in the Convenience Stores and Foodservice, Europe and Australia and Asia and LatAm segments, as well as the extra month of results in Pet, as we align net business to our fiscal calendar. We expect second half profit to be impacted by mid-teens percent increase in brand building investments. Increased investments in capabilities and future growth initiatives and the unwinding of the favorable manufacturing leverage and pet shipment timing benefits we saw in Q2. From a phasing standpoint, we expect year-over-year profit results to be more favorable in Q4 than Q3. Given that Q4 includes the extra month of sales for pet and the 53rd week for the remaining segments. As Jeff mentioned upfront, we are reaffirming our key fiscal 2020 guidance metrics for sales, profit, EPS and leverage and increasing our guidance for free cash flow conversion. You can see our current expectations for these measures on Slide 25. Namely, we expect organic net sales to increase 1% to 2%. We continue to expect the combination of currency translation. The impact of divestitures executed in fiscal 2019 and contributions from the 53rd week in fiscal 2020 to increase reported net sales by approximately 1%. Constant currency adjusted operating profit is expected to increase 2% to 4%. The benefit of the extra fiscal week is being reinvested in capabilities and brand building initiatives to drive improvement in the company's organic sales growth rate in 2020 and beyond. Constant currency adjusted diluted EPS is expected to increase 3% to 5% from the base of $3.22 earned in fiscal 2019. We continue to estimate that foreign currency will be immaterial to adjusted operating profit and adjusted diluted EPS. Given our strong first half results, we now expect to convert at least a 105% of adjusted after tax earnings into free cash flow, which is up from our previous guidance of at least 95% conversion. And we'll maintain our fiscal, our disciplined focus on cash to achieve our targeted yearend leverage ratio of 3.5x net debt to adjusted EBITDA. Now I'll turn it back to Jeff for some closing remarks.
Jeff Harmening: Thanks Don. And before we close, I'd just like to take a minute and acknowledge the key leadership transition with Don Mulligan's upcoming retirement. After a distinguished 21-year career in General Mills, including the last 12 years as CFO. Don will be retiring at the end of this fiscal year. He'll be stepping into an adviser role effective February 1st and retire on June 1st of 2020. As most of you listening already now, Don, has served the company and his function with distinction. He is true expert in this field and has provided steady leadership throughout his tenure. As you can see by our results so far this year, he has certainly running through the day. Today, on his 50th earnings call, I'd like to personally thank Don for his contributions to the company and for the counsel he has provided to me in his role. We'll certainly miss him and wish him all the best as he begins a new chapter.  I'm also pleased to introduce Kofi Bruce, who will be taking over as CFO effective February 1st. Kofi has been with General Mills for 10 years in a variety of roles including Treasurer, Segment Finance Leader for Convenience and Foodservice and most recently as Vice President of Financial Operations. Kofi brings a wealth of external perspective from prior experiences at Ecolab and the Ford Motor Company. Kofi is well suited for this role given the breadth of experience, his track record of delivering exceptional results and his passion for developing talent our organization. In closing, I would like to summarize today's key messages. I am encouraged by our performance. We drove broad-based improvement in organic sales trends in the quarter; generated strong first half earnings and free cash flow results and we reduced our debt. In the second half, we will increase our investments in growth and will further improve our top line trends. Importantly, we remain on track to meet or exceed all of our key goals for fiscal 2020.  With that let me open up the line for questions. Operator, can you get us started?
Operator: [Operator Instructions] And our first question comes from the line of Ken Goldman of JPMorgan. Please proceed with your question. 
KennethGoldman: Hi. Good morning, everyone and Don, thank you for all your help over the years. I wanted to ask a couple of questions. First are you thinking, this is more of a technical question but on slide 24 you had mentioned that Blue Buffalo is the only business not to have an extra week? But I thought previously we were modeling this and maybe I just didn't understand it correctly, we were previously modeling five extra weeks in the fourth quarter. And then subtract a week that went away in the first quarter that gets us four in net for the year. So I thought we were previously guided to having an extra week in Buffalo. Blue Buffalo for that fourth quarter but maybe I missed it, I thought it was five total.
JeffSiemon: This is Jeff Siemon. You're right. We have --the extra month is five incremental weeks in Q4. As we define organic versus non organic, all that change in Blue Buffalo falls under our organic sales definition. The extra, the 53rd week in the remaining segments is above and beyond in the inorganic calculations.
KennethGoldman: Okay so nothing has changed there just to make sure.
JeffSiemon: No, correct. 
KennethGoldman: Okay. Thank you. And then my next question is you have a little bit of controversy on your hands at least in the investor community right now obviously on the grain-free side. We met with you guys a month ago, you didn't sound very concerned about it. Has your concerned level changed at all in the last few weeks about grain free and some of the FDA reports out there? Or are you still not really necessarily seeing consumers react as feared?
JeffHarmening: Yes. Thanks for the question, Ken. I mean contrary to what's been written we actually really haven't seen an impact on our businesses as witnessed by the strong Q2 results on Blue Buffalo including Wilderness which happens to be grain-free. That along with Life Protection Formula really led our growth in the quarter. I do think it's important to take a step back and remember why we get into this in the first place. And what we bought was a great brand and a great category and brand that travels across different diet types both grain containing and grain-free and travels across channel. And you can see that with our results in E-commerce and FDM. And so while there has been a lot of talk of grain-free, we haven't seen it in our business and our trends even in Pet Specialty really haven't changed on grain-free. And I also think it's important that in this discussion we don't lose sight of the fact that the FDA has really, they have not identified a call to link or drawn any conclusions. They have -- they have brought it to people's attention clearly, but they have not drawn call to link. And I would also like to say that along with our human food, we work closely with the FDA and the rest of the pet industry as well. Now there has been slowdown in grain-free and category but there are a lot of moving pieces. I mean part of that's probably a shift to Blue Buffalo and part of that is channel shifting and all the rest. But there has been a slowdown in the grain-free segment although blue Buffalo and our grain-free products we really haven't seen that.
Operator: And our next question comes from the line of John Baumgartner of Wells Fargo. Please proceed.
JohnBaumgartner: Thanks for the question. Jeff, I also wanted to stick with the topic of DCM and maybe just looking at it differently. Can you frame the situation as you see it maybe in terms of options for the portfolio and supply chain? Whether it's with reformulations or anything else. Like how do you think about the optionality there?
JeffHarmening: Well. I mean I think I'll start that--look, I'll start answering that question with something I mentioned briefly and Blue Buffalo plays really well across all diet types. And I think that's really important to note. The second thing, I guess, I would like to say that we have some product lines that even though they are technically grain-free they also have a -- they are also benefited high-protein. So I look at Wilderness and while it's grain-free it's also true that it's high in protein and many consumers buy because of that. We don't have-- we certainly don't have any plans to reformulate products, but if we ever needed to we can certainly shift. We currently can make some shifts and make some changes. As I said, we don't have plans to do that now because we haven't seen an impact. And we don't feel the need but should that need arise, we certainly can.
JohnBaumgartner: Great. And then, Don, very strong quarter for margins. You mentioned the benefits there from the manufacturing leverage but how is the pacing coming through from the global sourcing and some of the logistics work you're doing, both in North America and Europe? Where those initiatives stand kind of going forward in terms of incremental benefits for the back half and then maybe into fiscal 2021?
DonMulligan: We continue to see strong return on the investments we made in global sourcing for example. Our HMM is tracking on plan. It will fully offset our 4% inflation this year. It tends to be --it is running fairly consistently quarter-to-quarter. We expect both in the front and the back half for inflation and HMM to kind of run in lockstep. And that's what's an elevated HMM results partially driven by the global sourcing that you referenced.
Operator: And our next question comes from the line of Andrew Lazar of Barclays. Please proceed. 
AndrewLazar: Good morning, everybody. Happy holidays. I guess, first off more of a quick one. I guess , Don, are you able to help maybe quantify or maybe put some parameters around the benefit from some of the timing that you talked about in pet shipments and manufacturing leverage in any retail that is set to unwind in the second half. 
DonMulligan: Sure, I guess I'll step back first and just talk about margins more broadly. We are pleased with the way the middle of the P& L is developing this year. You're seeing a consistent improvement in our expansion and our gross margin. And even when you strip out lapping, the inventory step-up on pet from last year and the timing benefit this year you are seeing a 30 to 40 basis point improvement in margins and gross margins in both the first and second quarter. And you're also seeing that we're investing back in higher media which has been running mid single digits and actually increased in the second quarter versus the first quarter. And our admin is well controlled. So we're getting leverage there which is leading to the improved, through the first half of the improved operating margin as well.  So we like to structure. As we look to the second half, there are three things that we referenced. We're going to see a step-up in our brand investment. That's going to be in the mid-teens and to put in perspective; we run an annual media budget of last year was around $600 million. We will also see increasing in investments. We talked at the beginning of the year about getting deeper in data analytics to support our strategic revenue management and E-commerce activities. And we will continue to invest in those and increase that investment in the second half. We've also start spending some money on pet innovation which again will benefit beyond --our beyond our F-2020.  And the last piece is the shipments. And the reason I recap them or the timing, excuse me. And the reason I recap them because really that is the order of impact as well. So I want to make sure the first two pieces are not lost. So third on the timing, there are two components. It's the manufacturing leverage in North America retail which will --which was created as we increased inventory in the second quarter and we will unwind largely in the third quarter. And then a small benefit from shipment timing in pet. Together, those will be about $25 million benefit or benefit in Q2 reverse in the second half again largely in the third quarter. But again, there are three components. All are material and the timing is actually the smaller of the three.
AndrewLazar: Great and that's helpful. And then your comment on pets are good segue to my next question which is thinking about the runway for growth there, this fiscal year obviously you're seeing the benefit from the white space distribution fill and the FDM channel and not only from Life Protection Formula but Wilderness sub-brand as well. Is the opportunity as we head into fiscal 2021 become less about channel fill and more about I guess product form? Thinking about like wet and treats. And if so, I guess what does the analysis suggests to you around the magnitude of that opportunity as we go forward? Thank you.
JeffHarmening: As we look ahead, Andrew, I mean I think one of the things I would say, first of all, that we're most encouraged by it. If you look at the growth we have in pet distribution we've had for more than a year it's up 45%. And so the idea that once distribution stops or growth stops is not something that we subscribed to. And that actually follows what happens in human food. A lot of times when we launched new products into a channel, people are still finding those products for a couple of years. And so it's actually not surprising to us that we will see continued growth in pet and channels where we already exist. It's actually quite good. So as we look at, as we look at F-2021, the first thing I would tell you, even though we have a quite a bit of distribution already, we should -- I think pet parents are still going to be finding Blue Buffalo especially in the food, drug and mass. So I think we will see continued growth in that.  On Pet Specialty, we'll look to turnaround some of those trends in the pet specialty because we think that we can do better and through promotions that are suited to that channel, as well as some new product innovations, Carnivora is just the beginning and continued. [Tech Difficulty]
AndrewLazar: Can you hear me guys?
JeffSiemon: Yes. Andrew, sorry. 
AndrewLazar: We are back. 
JeffHarmening: Don just said in 50 calls this is a first for him. [Multiple Speakers] So, I am going to first refer to Jeff, Jeff was I think probably talking for a little while longer about our pet growth opportunities. 
AndrewLazar: Yes. We got cut off, I'll tell you, yes, I could help you there. We got cut off right after Jeff had said we still see opportunity obviously in some of the core channels that you're in and then you were just going to kind of transition to the next part of the point.
JeffHarmening: Great, okay, good. I don't want to miss. It was sheer brilliance, Andrew. 
AndrewLazar: We'll never know. 
JeffHarmening: I am sorry, it was nice. Look, the other thing I was saying that it was in the other opportunity is really through innovation through wet and treat and one of the things we will be -- we are spending more money in the back half of this year on is on innovation. And you will see that come to fruition in F-2021 and to dimensionalize it, the wet and treat part of the pet food category is about 45% of the categories almost $15 billion in sales and we weigh under-index. So our share of dry dog food is probably about 10%. Our share of wet and treat us somewhere in the 3% to 4% range and so the opportunity is enormous. And so as we look to next year, we think we can grow through continuing to do what we do well which is build the Blue brand, continue with pet parents finding in a channel and through wet and treat innovation. 
Operator: Thank you and our next question comes from the line of Dara Mohsenian of Morgan Stanley. Please proceed
DaraMohsenian: Hey, good morning, guys. So two questions. First, just in U.S. Retail Cereal had a strong quarter. It's a continuation really the solid results you mentioned over the last couple of years with the growth. But obviously it was also an easy comparison this year with the merchandising shift last year and one of your key competitors has talked about increasing merchandising in that business. So, Jeff, I was just hoping for a bit of a state of the union there on your cereal performance to key growth drivers going forward and where you're focused and expectations for the back half of the year?  And then a similar question on U.S. Yogurt trends did weakened sequentially in the quarter. I think you've had some greater competition on the low end. So maybe you can talk about the competitive environment in Yogurt. Your prospects for the back half of the year and with a number of the drivers you mentioned, do you think that business could actually get to growth in the back half of the year and expectations? That would be helpful. Thanks.
JonNudi: Dara, this is Jon Nudi. I will jump in and take both those questions. On cereal, we feel really, really good about our performance to date. The quarter was a terrific one. We were up 5% from an RNS standpoint. And it's really being driven by fundamentals. If you look at our marketing, we feel great about where we are in our major brands. In fact, we had the best quarter on cereals in over a decade with our total Cheerios franchise up 6.5%. Jeff mentioned some of our kids' cereals and Reese's Puffs and Travis Scott collaboration. So feel really good about our marketing and our big brands, at the same time our innovation is quite strong as well. In fact, we have the top four new products introduced over the last year in the category and nearly 50% of all the new category volume from new products is coming from General Mills. So feel really good about the fundamentals. And you mentioned the comp; we were a bit softer last year in Q2 from a merchandising standpoint. And obviously, we benefited from that. Our comps get a bit more challenging in the back half but as I look at the fundamentals behind marketing and innovation, we feel like we're going to compete very effectively as we move through the back half of the year. So we feel really, really good about cereal.  And importantly, the category was actually flat for the first time in quite some time in the quarter as well. It continues to get better over time. And we feel good about the future of the category and certainly the way that we're competing. Switching to Yogurt. As Jeff mentioned, our goal that we set at the beginning of the year was to improve from a minus two that we delivered in fiscal 2019. We took a bit of a step back. We were down 3% through the first half. And really two major drivers of that, one was that we lost some significant distribution at several major customers last January. We'll lap those distribution declines next month. And again, we think that'll be an inflection point. And also in the summer of fiscal 2019, we brought up the second line on Oui. And as a result, we spend a tremendous amount around marketing support to really drive that business.  In fact, in Q2 last year, wheat was up almost 40%. So our comps normalize in the back half on Oui. And that will help us from a comp standpoint. We feel really good about our core business. Original style Yoplait or Yogurt was up 1% in the quarter. Go Gurt was actually up 10%. We had some really great taste news. And we feel good about our new product lineup for the back half as well as Jeff mentioned, we are launching a new nondairy Oui which has coconut based. So we've got a Starburst promotion as well. So we believe that Oui are still on track to meet our objective of improvement from the minus two and we see Yogurt strengthened as we move through the back half.
DaraMohsenian: Okay. Can you just talk a little bit about some of the low-end competition you are seeing? And if that's an issue how you view that in Yogurt? Thanks.
JonNudi: Yes. I would tell you I don't think that's something that we're super focused on. Again, we think that across each of our lines we are very clear view of who consumers are. Our OSY, Original Style Yoplait, again that's where we probably see the highest private label interaction. And as I mentioned, we grew 1% even seeing private-label gain pretty strongly. So we believe if we focus on innovation and building our brands, we can be successful. And again, we believe that we're going to have strengthened the back half and meet our objective. 
Operator: Our next question comes from the line of Jason English of Goldman Sachs. Please proceed with your question.
JasonEnglish: Hey, good morning, folks. Congratulates on your pending retirement Don and welcome Kofi. Looking forward to working with you. I want to bring us back to Pet with a couple of quick questions on it. First performance in pet specialty, I guess I'm surprised by the continued double digit erosion particularly in context of the much improved results you are seeing out of Petco and PetSmart and the Carnivora launch. Can you give us some context around what's driving the sustained share losses there? And also the teens type growth on E-commerce, obviously, strong in absolute quantum of growth. But we're hearing Nielsen talk about 40% plus growth in e-comm. And obviously, we've seen the robust results continue at Chewy. The data suggests you may be losing share in E-commerce as well. If you could weigh in on your perspective there?
JeffHarmening: Yes. With regard to pet specialty, the results aren't particularly surprising to us in pet specialty. It doesn't mean we liked them and we're not working to turn them around. And the reason we've had tough results in pet specialty, I think there are two reasons. One is that in two of our biggest players were down on distribution quite a bit. And until we start lapping that which should be in the back half of the year we will continue to be down in. The second is we haven't had a lot of --we haven't had a lot of off-shelf placements on marketing in those channels which we're also looking to turn around. And so that's not all that surprising. The other thing is that the E-commerce channel does interact quite a bit with pet superstores. And we've had strong performance in E-commerce over the years including this latest quarter. And so that's probably accounts for some of those declines as well. But we're working. It's an important channel for us. And even if we're not surprised, it doesn't mean we're happy. And so our goal will then be to improve that performance in the near term. When it comes to E-commerce, there has been a lot written about e-commerce and I think especially about I think Chewy announced I think last quarter a 40% growth in their business. I think it's important to remember that their growth also includes pharmacy and hardgoods and not only pet food. In terms of our growth, we feel great with a number one pet food online. We're the number one CPG brand online. And we continue to grow with pet parents. And so in terms of market share there are probably three different sources for market share. We used two of them and according to that we're actually growing share in the channel. We haven't used Nielsen, frankly, because their data has not been as reliable as we would have wanted it to. To the extent that that changes here overtime we will pick up Nielsen. But we stopped using them because the data was not as robust as we needed it to be. I think it's also important to remember that Nielsen includes all E-commerce channels not just pure-plays like Chewy and Amazon but things like Target and Walmart and all the rest.
JasonEnglish: Got it. That's really helpful. One more and I'll pass it on. On the portfolio overall, you obviously have a sizable grain in offering as well as grain-free. Is there a meaningful margin delta between those two? And also what's the general price spread between those two? Thank you.
JeffHarmening: I would say for Wilderness, our pricing is higher on average than it is for the rest of the line and our margins are very robust. I'm not going to get into specifics of that, but our margins are very robust. And so as those with all our pet food. So I would say Wilderness is our biggest grain-free line and it's got good margins and higher price point.
Operator: Our next question comes from the line of Faiza Alwy of Deutsche Bank. Please proceed. 
FaizaAlwy: Yes. Hi, good morning. Thanks for the question. So I had a couple of questions. First, I just wanted to go back to the DCM issue only because as you are aware it's a big. It's a big focus point for investors. And one is it's clear that you are not seeing an impact on from retail sales. But are you seeing any impact as you're looking at consumer sentiment out there? And is there anything sort of beneath the retail sales where you're potentially concerned about DCM at all? And then my second question is just a little bit broader question around your priorities. I guess if you just look at this quarter alone, you could come up with the perspective that you are prioritizing profitability and deleveraging, which is great and I don't mean to look at it on a glass half empty point of view. But maybe could you give us a little bit more comfort in terms of your priorities around top line growth and sort of what's driving this shift in investments toward the back half versus this quarter? Thank you.
JeffHarmening: Yes. So on DCM, I'll probably reiterate a statement I made a little bit earlier, which is to say that we haven't seen an impact on our business from this. Now there are a lot of moving pieces with channels and distribution bills and all the rest, but we have not seen an impact on our business from the discussion of DCM and there has been quite a bit of discussion. There's been a slowdown in the grain free segment within the category. So that also has to be said and some channels are impacted more than others, particularly the Pet Specialty channel more than the Food, Drug, and Mass channel. And so we'll certainly keep an eye on that. But from what we see now, it hasn't had an impact on our business and of course we're dedicated to -- Blue Buffalo was created with a mission to create the healthiest pet food possible and we'll maintain on that mission. And with regard to DCM and any other issues affecting pets, we're in constant communication with the FDA as well as the rest of the pet industry. In terms of our first half versus second half and kind of what we're prioritizing, I guess I would say our goal has been for the last few years and again this year is really stay in the middle of both. And we're increasing our organic sales, but we want to make sure we do that in a way that is disciplined. And I think if you look at our full year, we'll be able to accomplish that and we'll be able to accomplish that by increasing our organic growth rate and we'll accelerate that in the back half of the year as well as raising guidance on our free cash flow conversion and maintaining our guidance on our profitability. So if you look at the whole year, I would say that our goal is to increase our organic growth rate but to do so in a way that is as efficient as possible. It is true that in the first half of the year we accelerated our profitability more than we did our organic growth and I think you'll see a little bit of a change to that in the back half of the year as we spend more on brand building and we have confidence in the ideas that we have. We've got really good ideas on really big brands. So whether it's in Snacks with Nature Valley and Fiber One or whether it's in Yoplait Yogurt or whether it's on things like Cheerios or Cinnamon Toast Crunch, we have really good marketing ideas on really big brands and so we're going to -- you'll see us spend behind that in brand building in the back half of the year to accelerate organic sales growth.
Operator: Our next question comes from the line of Nik Modi of RBC Capital Markets. Please proceed.
StevenShemesh: Good morning. This is actually Steve Shemesh on for Nik. Just another quick one on Pet. As we approach the leadership transition in Blue, just wanted to get a sense of if there have been or will be any significant operational changes? And I guess on that point, will Blue still have a somewhat independent sales force or is that going to be integrated into the broader General Mills sales force? Thank you.
JeffHarmening: Well, first I would say that our Pet performance seems to be pretty good right now. So we're going to keep doing what we've been doing and add innovation on top of that. A couple of things I think to remember. The first is that the Bishop family; Billy and Bill Senior and really Chris; they'll still be involved in the business as advisors going forward. And I just had a conversation with Bill yesterday and so they bring a lot of pet expertise and they will continue to bring that expertise. It just won't be in an operational role, it will be in an advisory capacity. The second is that we have a strong leadership team in place that's going to carry over. So we have someone who's been in Blue Buffalo for a long time leading our marketing organization and leading supply chain. We have an HR professional that's been there for a while as well as someone in finance. So the leadership surrounding Bethany who is going to remain in place and they've been very effective. And then finally, Bethany herself. We have a tremendous amount of confidence in Bethany and she's a great culture builder and has proven she can drive growth as she has in CNF and she's excited to do the same thing in Pet with the team around here. So we feel good about the leadership transition. Obviously the Bishops are fantastic and we will miss them, but they will remain involved and we have a great deal of confidence in Bethany and the rest of the herd.
Operator: Our next question comes from the line of Robert Moskow of Credit Suisse. Please proceed.
RobertMoskow: Hi, thanks for the question. Two things. In the guidance for the back half, I think consensus is expecting operating profit to be flat to down already. Is that kind of what you're thinking if we had to isolate third quarter in particular because of the comparisons and the $25 million and all of that? I wasn't sure from the script. It sounded like you thought -- it sounded like the opposite, but I couldn't tell. And then secondly, I noticed in the press release that lower consumer promotional expense was one of the drivers of the gross margin being higher. Does that include trade promotion or is it specific consumer promotions that you're talking about and to what extent is that I guess being offset by the higher media expense? And maybe you can give us little more clarity on how much media is going to be up for the year. Lot of questions in there, but yes.
JeffHarmening: All right, I'll do my best Rob.
RobertMoskow: Sorry. I tried to be clear if nothing else.
DonMulligan: So for the second half if you just do a squeeze, we're 7% on operating profit. We're 7% up in the first half, our guidance is 2% to 4% so it squeezes to flat to slightly down in the second half. I mean that's just the math and as we alluded to, there is particularly pressure because of the unwinding of the inventory and the Pet sales timing in Q3. And we'll also see a step-up in our media and in the capability building in Q3 and through the second -- through the fourth quarter. So you will see those pressures come through probably more acutely in the third quarter than the fourth quarter and the fourth quarter obviously will also benefit from the extra month in Pet and the extra week across the business. That's the phasing. The promotional expenses were not trade, they were actually in we call other consumer so they're in SG&A. And to your point, they were down a touch, but media was up strong mid-single digits in the quarter. And again as we said in the second half, we expect media to be up mid-teens in the balance of the year. So we continue to invest behind our brands. We're seeing it more directly in our media budget and media spending this year and we expect that to step up in the second half.
RobertMoskow: And Don, can you give us any color on trade spending like there's been a shift in the industry overall toward higher trade spend and lower brand building. Are you saying that your trade spending is going to be about the same and then in addition to that, you're going to increase the direct to consumer as well? How would trade spending be affected by this If at all?
DonMulligan: I'd say it's not. The media spend is in addition. I'll let Jon talk a little about the trade in a second, but I'll just go back to the comment I made to Andrew's question is. If you step back and look at the shape of the P&L the way it's coming in this year, you're seeing the benefit of all the work that we're doing in terms of gross margin. Ex the timing and the purchase accounting adjustment from last year, gross margin is expanding about 30 basis points to 40 basis points in the first half and that was in both quarters. Media is up mid-single digits through the first half and again accelerated in the second quarter and our admin expenses have been held in check. And so, we're leveraging those to drive operating margin expansion and that's what we expected to do during the year. As Jeff alluded to, we actually came in a bit more -- with a bit higher profit in the first half than we had originally anticipated and that gives us some flexibility to invest in the back half. That investment is going to be in media, in capabilities, in future growth initiatives such as the Pet innovation not in higher trade. So Jon, if you want to comment a bit about the environment you're seeing.
JonNudi: Yes. So Robert, our trade spending in the US is relatively stable year-over-year. We're leveraging strategic revenue management to try to get more from those dollars and leveraging that whole toolkit but relatively stable. And we're really excited about the opportunities on the brand building side. I'd tell you that we've got probably more ideas than ever in terms of where we can get behind and there are proven drivers and invest behind big brands like Cheerios with heart health news, we're seeing amazing results. So we'll be competitive and compete in our categories from a trade standpoint and will build our brands where we have media as well. So, we feel really good about the few we have to drive our business forward.
Operator: And our next question comes from the line of Laurent Grandet of Guggenheim Securities. Please proceed.
LaurentGrandet: Yes, hi. Good morning, everyone. And congrats, Don, and welcome, Kofi. Just to follow up on the US share growth category. Could you please update us on how you see the state of the Yogurt business, the recent relaunch of YQ, I mean the launch of Good Valley and Oui by Yoplait that we certainly can't see in Nielsen. And also could you share your aspiration for Oui dairy free that you just announced and how it fits with your overall plan base strategy that most probably include your investment in KKL? Thank you.
JonNudi: Sure, Laurent. This is Jon. So as I mentioned earlier, we were a bit softer in the first half than we'd like on our Yogurt business. And as I mentioned, we feel like we've got drivers in place to improve in the back half. Some of the things you asked about our Good Valley as well as YQ, I would tell you candidly they did not perform as well as we would have hoped through the first half. I would say distribution is a bit below -- lower than what we would have liked, particularly on Good Valley. We've got some real pockets of success and we're drilling in to understand what's working and how we can expand that brand out. As we move to the back half, we are excited about our innovation line up. As you know, plant-based yogurt is growing nicely, it's still relatively small and we think that coming with the repackaging will be a real point of difference and we love the product as well. So we think that will help us as we move forward and play in a really important part of the category that's growing quickly. So we'll continue to innovate and iterate in that category. I'll tell you there's probably more innovation in Yogurt than the other 25 categories we compete in the US and we as a result, recognize that we have to have a strong pipeline and continue to bring ideas as the consumer is continually looking for new things in the category.
LaurentGrandet: Thank you very much. And have you got the time for our second question. So I'd like to understand I mean the rest organizational change between I mean Dana McNabb moving from Cereals to Europe, I mean any update on that transition? I mean how it is, which would impact I mean European business you think. And also I mean how you fill her shoes in the US so the business that's working very well for now.
JeffHarmening: Yes. So, the transition is going smoothly. Dana is being replaced in Cereal by Ricardo Fernandez, who is an exceptional leader with really good knowledge of the Cereal category. So one of the things I feel great about is that we have a very good team of people Cereal experts here at General Mills. And I would also say Dana has had a great team in Cereal and they're remaining in place. So we've got good people in marketing and finance and operations and so the rest of that team is remaining in place and they're a very talented group. And so my expectation is that we'll continue to grow Cereal as we have in the US. Dana is a fantastic leader. She knows Europe very well. She spent time with me at CPW so I know Dana well. And so she knows the European market context. She's a very good marketer, she really likes to grow. And so looking forward to what she can do with that business and continue similar trajectory we've had on Old El Paso and maybe even improve it further and improve what we've done on bars which has been really good and Haagen-Dazs. And then she'll have a chance to make sure we get our Yogurt business in Europe back to growth, which has underperformed along with the rest of the yogurt category. So, she's a terrific leader who understands the market and she'll be starting there in about 10 days. End of Q&A
Jeff Siemon: All right. Bridget, I think -- unfortunately I think that's all the time we have. So, thanks everyone for your questions this morning. I know we didn't get to everyone so please feel free to follow-up over the course of the day. And Happy Holidays, everyone. Thanks for listening in this morning.
Operator: And that does conclude today's presentation. We do thank you for your participation and ask that you please disconnect your lines. Have a great rest of the day and Happy Holidays, everyone.